Operator: Good morning, and welcome to Quarterhill's Q4 and Fiscal 2023 Financial Results Conference Call. On this morning's call, we have Chuck Myers, CEO; and Kyle Chriest, Chief Financial Officer. At this time, all participants are in a listen-only mode. Following the management's presentation, we will conduct a question-and-answer session, during which analysts are invited to ask questions. [Operator Instructions] Earlier this morning, Quarterhill issued a news release announcing its financial results for the quarter and year-ended December 31, 2023. This news release, along with the company's MD&A and financial statements are available on Quarterhill's website and on SEDAR+. Certain matters discussed during today's conference call or answers that may be given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect results are detailed in the company's annual information form and other public filings that are available on SEDAR. During this conference call, Quarterhill will refer to adjusted EBITDA. Adjusted EBITDA does not have any standardized meaning prescribed by IFRS. Please refer to the company's fiscal 2023 MD&A for full cautionary notes regarding the use of forward-looking statements and non-IFRS measures. Finally, please note that all financial information provided is in Canadian dollars unless otherwise specified. I will now turn the meeting over to Mr. Myers. Please go ahead, sir.
Chuck Myers: Great. Thank you. Good morning, everyone, and thanks for joining us on today's call. In terms of an agenda today, I'll discuss the results for the quarter and the year, as well as our acquisition announcement today of Red Fox I.D. After which, Kyle will take a look at key financial results. And after Kyle, we'll open it up for questions. So, thanks, we'll get started. 2023 was a year of transition for Quarterhill as most of us know with important changes made to the Board and Management. And that really sets the stage for greater focus on the operational excellence throughout the company. 2023 wasn't without its challenges, but we finished strong in Q4, and we believe we have entered 2024 with a stronger foundation in place that can drive top line growth and margin expansion. I joined the Board in May of last year, and became CEO in September. Kyle was named the Interim CFO in May, and as noted in our earnings release today, Kyle I would like to congratulate, he is now our permanent CFO. He has done a fantastic job in helping me clean-up and fine-tune operations, and getting us positioned for our next growth phase. At the Board level in 2023, Rusty Lewis was named Chair. And Bill Morris and I were both appointed as Directors. The Board currently stands at six members, four of whom have been added in the past two years. A number of these changes naturally coincided with the sale of the WiLAN, the patent licensing firm. With that transaction completed, we are now a pure-play ITS business and tighten strategic focus and simplified profile to the Street. The transaction laid the groundwork for my joining as CEO. And it added our cash balance sheet in support of organic growth as well as tuck-in acquisitions. As I discussed in our Q3 call, my focus since becoming CEO has been to visit our facilities, customers, and teams with an eye on finding efficiencies, optimizing operations, and continuing the integration of our ITS business units. I have been impressed with the depth and the collaboration amongst the team, and with the assets and opportunities we have to capitalize on. As expected, this had led to a few other changes within the organization here in '24 as we fine-tune the leadership team. Earlier this week, David Sparks joined Quarterhill as Executive Vice President, Strategy. And Rish Malhotra, who led our enforcement unit, departed the company. These changes were made, and [aided] (ph) to further integrating the company, streamlining our structure and executing on our growth plan. With the enforcement unit, we won't be naming a CEO per se. And for the time being, the unit is being co-led by a couple of veterans on the team. David Sparks is a great addition. He is a recognized thought leader in the transportation industry, and his experience in ITS, tolling, and RFD transit is more. Most recently, he was Senior President in WSP, one of the world's top engineering professional services firms. His deep ITS roots and in early in his career, Dave worked with Rusty Lewis and I at TransCore. Dave has experience managing large projects, identifying and executing client opportunities, and developing strategies to expand business in the new markets. In the near-term, he is focused on advancing some of our large tolling projects. And we will ultimately ship the majority of focus to strategy and growth. Integration was a big theme in 2023 and our efforts continue into 2024. We are near completion of our one company initiative, where we will be shedding IRD and ETC banners in favor of one name, which is Quarterhill. This means a more streamlined simplified organizational structure with one public-facing presence, one website. This will roll out shortly. IRD and ETC are respected brands in the industry, but there is a continuity of key relationships between teams, customers, and industry contracts. And we don't anticipate any disruption at all. There is a logical evolution of the integration that began last year. And frankly, one that's long overdue. While our core operation is North America, Quarterhill has a number of smaller businesses worldwide predominately in the [technical difficulty] business. As part of our integration, I have done a deep-dive on these operations to identify those that are [technical difficulty] much money, and consume a lot of management time. The goal it exit businesses that check those boxes. [Technical difficulty] -- transaction in our PAT traffic operations in Chile and Mexico in the fourth quarter. This was relatively small transactions valued in the low single-digit millions to generate some cash. Over the course of this year, there could be more that we look at doing something similar with. And our 2023 financial review, [technical difficulty] our strategy and outlook more in a moment, but first a quick review of the '23 financial [technical difficulty] $1.5 million in Q4 last year. For the year, revenue was $194.3 million, up 22% adjusted EBITDA, [technical difficulty] gross margin improvement. This was due to steady performance from our enforcement business, improved execution in tolling implementations, and keeping a close eye on expenses. Looking more closely at our business units at the start of '23, we have seven major tolling projects in implementation phase which helped generate that significant backlog I just mentioned. While we spoke previously of the challenges on a few projects in '23, we nonetheless made an important progress advancing each of these through implementation and towards the operations phase. Several have moved into the operation stage. While all [technical difficulty] have one or two roads collide with us [technical difficulty] the first six months just on clean up stabilizing operation continuing the business to grow including [technical difficulty] Red Fox. From this point forward, I'll be pivoting [technical difficulty] most of time driving growth in the business. Quarterhill is very well-positioned to be a leader in ITS but simply we want to be number one in the [technical difficulty]. As I mentioned on our last call, not to expect any major shifts in strategy in the near term. We are focused on growing our [technical difficulty] tolling and enforcement units. [Technical difficulty] I want to talk about three areas where we continue to strengthen our existing operations and expanding capabilities. [Technical difficulty] we are looking at. While global business today [technical difficulty] our enforcement unit operates in more than 90 countries all around world. And we look to leverage [technical difficulty].
Operator: I apologize for interruption, Chuck. We're having some audio issues on your line. Is it possible that you can try reconnecting because your line is breaking up quite badly?
Chuck Myers: Yes, I'll redial in.
Operator: Okay, apologize for that, and apologies to the attendees. We will restart as soon as we have Mr. Myers back on the line.
Chuck Myers: Hello. I've rejoined the conference. Hopefully, you guys can hear me okay. Can the moderator please give me a clearance on that?
Operator: Thank you for rejoining, Mr. Myers. Your line is sounding better. If you wouldn't mind, if you can start at the integration section, that's where you started to break up.
Kyle Chriest: It's page six, Chuck, top of page six.
Chuck Myers: Please jump in sooner if I start to break up. Thank you. I'm going to start with integration again, folks. Sorry about that. Integration was the big [technical difficulty] we're near completion of our one company initiative where we will be sharing the IRD and ETC banners under one name which is going to be Quarterhill. This means a more streamline and simplified organized structure with one public facing business, one website, and global law beginning this spring. IRD and ETC are respected brands in the industry, but there's continuity of relationships contracts, and we don't [technical difficulty].
Operator: I'm sorry, Mr. Myers. It's the Operator again. Your line is starting to break up again.
Chuck Myers: Okay. Hang on. Bear with me, folks. I'm not quite sure what to tell you, but I'll try with the WiFi. How does this sound right?
Operator: It's still breaking up. Currently, I'm not hearing you at the moment.
Chuck Myers: Can you now?
Operator: You broke up halfway through that sentence.
Chuck Myers: How do I sound now?
Operator: That sounded good.
Chuck Myers: Can you hear me now?
Operator: Yes, you're sounding good.
Chuck Myers: Okay. Back to -- please jump in if you hear me well. Your respective brands [technical difficulty] anticipating the disruption at all. Is it logical?
Operator: You're still breaking up, sir.
Chuck Myers: I'm not quite sure what to do here. I'll be re-dialing back in.
Operator: Okay. Sure [technical difficulty]. Okay, apologies for the delay to the audience. We now have Chuck back on the line. [Technical difficulty]
Chuck Myers: Hello, hello.
Operator: Yes, we can hear you.
Chuck Myers: Okay, great. Sorry about that, guys. Three different networks now, so hopefully, this one is going to work. I'm going to start with our '23 financial review. I'll touch on our strategy and outlook more at the moment, but first quickly, a review of our 2023 financial and operational results. At a high level, I'm pleased with how we finished the year. Revenue for the quarter was $58.5 million, up 46%, while adjusted EBITDA was $3.2 million up from a negative $1.5 million in Q4 last year. For the year, revenue was $194.3 million, up 22%. Adjusted EBITDA was $3.8 million, up significantly from a negative $10.5 million in 2022 and our revenue backlog stood at more than $520 million at the year-end. Kyle will discuss our numbers in more detail in his section. The bottom line is that we made solid progress in 2023 with top line growth and margin improvement due to steady performance from our enforcement business, improved execution on our tolling implementations and keeping a close eye on expenses. Looking more closely at our business units at the start of 2023, with seven major tolling projects in the implementation phase, which helped generate that significant backlog I just mentioned. While we spoke previously of the challenges of the few projects in 2023, we nonetheless made important progress advancing each of these through the implementation towards the operations phase. Several have moved into the operations phase while others such as Orange County, Alameda, CTRMA, have had one or two roads go live with others in progress and are on deck for transitions later this year. Our enforcement business had a good year in 2023 and has largely been a measure of consistency and steady modest growth over the past five or six years. Among other things, we expanded our footprint by closing businesses in two states in 2023, New Hampshire and Rhode Island. And the first part of 2024, we completed a $5.3 million contract in Tennessee. It's also a new state for us. So, strategy, I spent the first six months focused on cleanup, stabilizing operation and positioning the business to grow, including M&A opportunities such as Red Fox. From this point forward, I'll be pivoting to spend most of my time driving growth in the business. Quarterhill is very well positioned to be a leader in the ITS. Simply put, we wanna be number one or number two in our markets, and we think we have the foundation in place to achieve that. As I mentioned on our last call, not to expect any major shifts in strategy in the near term as we remain focused in growing the world-class tolling enforcement units. While this largely remains the case, I want to talk about the three areas where we'll work to strengthen our existing operations and expand our capabilities in the addressable market. Hopefully, folks are hearing me okay. The first is to pursue tolling opportunities in Europe, where we're a global business today. Enforcement unit operates in more than 80 countries around the world, and we look to leverage its deeper presence in Europe to seek tolling business there. This is an area of integration and revenue synergy for the business that has potential to be a new growth driver. It involves drawing on the expertise and servicing capabilities of both tolling and enforcement units. We'll do it at a reasonable pace. We're looking to make a bid or two in 2024, when then I am putting shovels in the ground in 2025. We're going to focus on software. A second area of focus is R&D. I'm driving the focus on software development to support both the tolling and enforcement businesses and our penetration into other verticals. This is a keeping with my background as many of you have technology most of my life. And I recently ran an AI company that's building out, its computer vision platform for transportation sectors of automotive, railway, and logistics. This is an area where we'd like to make a push. My goal for Quarterhill is to drive a greater percent of revenue and act a little bit more of a software company. It's not necessarily radical thinking. Our toy unit has invested more than $50 million in its back office software. Both units offer some mild machine learning solutions within the product portfolio. So, software is already a big part of what we do. And you can see that with the Red Fox acquisition as well. But we're doing more focused strategy in place to expand our capabilities. We have an excellent CTO in Mike Childress, an established platform to work with, but with some modest investment in the team and technology, I think we could do a lot more for our customers and earn a lot more from them. AI and machine learning will play a big role in our development and really the development in the transportation industry. And we really want to focus on these areas around visual technology, vehicle ID and classification, as well as data mining and analytics. These two areas could have a positive impact on app or positive applications for both of our business units and the demand from the customers is there. Since joining Quarterhill, I've met most of our tolling customers and they kind of crave new technology and they have expressed their willingness to pay for it. The announcement of our acquisition of Red Fox falls into this category. Red Fox is a profitable growing provider of automatic vehicle detection and classification system software, AVDC, to the tolling industry. ABDC is responsible for the detection, classification, and tracking of a vehicle as it enters and exits a tolling facility. ABDC is at the front end of any tolling transaction where accuracy and flexibility are essential. Red Fox Quantum software platform has a detection accuracy of up to 99.96%. And the ability to process captured data from both LiDAR and in the payment loop makes it unique in the market at the forefront of advanced AVDC solutions. Our tolling unit is a customer of Red Fox Quantum software. So, we have first-hand experience with the quantity, the performance, and the untapped potential of the product and the quality. Quantum is a type of solution we have on our technology road map. And with Red Fox, we're presented a compelling buy versus build opportunity. With attractive financial terms, a reoccurring revenue model, and strong opportunities for growth, we think Red Fox is an excellent fit for Quarterhill and we want to welcome Steve and Andy and their team to the Quarterhill family. The next area we're going to be looking at in the future with no specific IDs at this point is to penetrate verticals in transportation ITS base such as logistics. Our increased focus on technology will be a key step in helping us penetrate this market. And it's really been, but it's been, you know, largely the foundational technology to do it today. We'll be looking at inter-modal terminals, ports, borders, asset management, and it's a logical extension of our tolling enforcement business today. We're in the early stages of our go-to-market strategy and logistics, but we believe the addressable market is here and is probably larger than enforcement and tolling combined, and the developing these solutions is complementary to our existing verticals. In our outlook, in terms of our outlook in 2023, we settled things down, grew our top line, and generated positive EBITDA for the year versus a big loss in '22. In '24, we look to build on this progress by harvesting our contracts, winning strategic opportunities, and growing both revenue and adjusted EBITDA. We plan to achieve this by remaining focused on growing our world-class ITS franchises and tolling enforcement, while investing in our higher margin software applications and seeking expansion opportunities in European tolling market and the logistics vertical. Our goal is to achieve growth while generating reliable cash flow in order to build a healthy and sustainable balance sheet capable of supporting both our organic and acquisitive growth strategies. To sum things up, I'm really excited with our potential here at Quarterhill. We have a great team, deep industry experience, growth ambitions, and a strong customer commitment. We have excellent ITS assets with good organic growth potential and opportunities through M&A to accelerate the growth or elevate our technology. We have a significant revenue backlog that provides good revenue visibility with integration changes we've made. And we have a good line of sight to becoming a positive cash flowing major player in the ITS industry. Finally, as we execute our plan, we think we bring a compelling investment and the opportunity to the street. And I look forward to being more active this year, telling our story and evangelizing the Quarterhill name. In fact, next week, Kyle and I will be at the 36th Annual Roth Conference in California, participating in a one-on-one meeting with investors, which will be Quarterhill's first time at that conference. We expect and continue to be active at the conference front in '24 and keep you posted as those opportunities materialize. And with that, I'll pass it over to Kyle. Kyle?
Kyle Chriest: Thank you, Chuck, and good morning, everyone. Before we get into the financials, I want to let everyone know that with our Q1 2024 results, we will switch our reporting from the Canadian dollars to U.S. dollars. This reflects the fact that the majority of our revenue is contracted and paid for in U.S. dollars as well as our desire to add a senior U.S. exchange listing at the appropriate time. Secondly, please note that all discussion on quarterly and year-to-date financial numbers reflects only the results of our ITS business. WiLAN's financial results in 2023 and 2022 are reflected in the discontinued operations line items in our P&L and cash flow statement as that business was sold in June 2023. With that, I will start with a look at revenue in the quarter. Q4 revenue was $58.5 million, up 46% year-over-year. For the year, revenue was $194.3 million, up 22%. We are very pleased with the strong finish to the year. The increases for the quarter and year were due to growth from both tolling and enforcement units with some revenue pickup from Q3 as discussed on our last call. This was revenue generated by timing of materials and subcontractor deliveries on our tolling implementation projects. In the tolling business, we did make good progress and had partial go-lives from CTRMA in Orange County that helped boost revenue in the fourth quarter. As Chuck touched on in his section, at the end of the year we had significant backlog of more than US$520 million, providing good visibility into revenue for the next several years. Of note, a large portion of the backlog is higher margin contracted maintenance revenue versus implementation revenue. With that said, for those tolling projects that have recently moved into the operations phase, margins tend to start at lower at the launch date and then rise over a period of a few quarters before stabilizing. Gross margin percentage in Q4 was 20% and 21% for the year, compared to 25% and 24% in the comparative periods last year. Decrease in gross margin for two periods is primarily due to tolling implementation expense overruns that we've discussed throughout the year. Of note, the decrease in gross profit margin was partially offset by continuing steady performance in our enforcement operations. Sales, general and administrative expenses or SG&A were down significantly in Q4 and for the fiscal year. SG&A was $9.2 million in Q4 compared to $11.9 million in Q4 of 2022. For the year, SG&A was $35 million compared to $48.6 million in 2022. SG&A as a percentage of revenue in Q4 was 16% compared to 30% in Q4 last year. The decrease in SG&A largely reflects savings from our restructuring and integration activity in 2023, along with our ongoing focus on driving efficiencies and controlling costs. Looking ahead, we anticipate that our SG&A expenses will increase year-over-year as we strategically invest in key areas of our business to drive long-term growth and innovation. We plan to allocate additional resources towards research and development initiatives and support some one-time initiatives aimed at fostering sustainable growth. As John said, we have proven successful in eliminating costs from the business and driving efficiencies, and we will be monitoring our R&D spend going forward very closely, and I expect we will hold SG&A cost increases to under 10%. Q4 adjusted EBITDA was positive for the third quarter in a row with $3.2 million or 5.5% of revenue, up from negative $1.5 million in Q4 of last year. For the year, adjusted EBITDA was $3.8 million, a $14.3 million improvement from 2022. Quarterly and fiscal 2023 adjusted EBITDA were up over their respective 2022 periods due to top line growth from both the tolling and enforcement units and from the integration and cost control initiatives completed over the last four to five quarters. For the outlook, we expect adjusted EBITDA to grow this year and to trend upward as we move throughout the year. As you know, Q1 is typically a seasonally slower period primarily due to lighter scheduling of projects in the winter and to weather related delays. This generally results in a sequential dip in margin from Q4. Further, I had mentioned the tolling projects that have recently moved into the operation phase for which margins tend to start out lower and then rise over a period of a few years before stabilizing. Turning now to the balance sheet, we ended the year with cash and cash equivalents of $56.6 million compared to $66.4 million at the end of 2022. December 31, 2023, we had working capital of $104.6 million, which is up from $71.5 million at the end of 2022. Cash used in continuing operations in Q4 was $1.6 million compared to cash generated from continuing operations in Q4 last year of $7.7 million. At the time of our Q3 call, we had expected the cash flow would be relatively flat from Q3 to Q4. However, due primarily to the timing on collections on certain contract milestone payments and to foreign exchange adjustments on cash, cash dipped at year-end. Our outlook for cash for 2024 is that we expect to generate positive cash flow for the year and to begin doing so in Q2. Due to the nature of our business, operating cash flows may vary significantly between periods due to changes in timing and working capital balances, mainly with collections and payments and timing of milestones. Regarding the Red Fox acquisition, the total purchase consideration is $10.2 million for all the issued and outstanding shares of the company. Chuck mentioned Red Fox is growing and is profitable, and we expect it to generate approximately $1.4 million of adjusted EBITDA in 2024. As such, the acquisition is expected to be immediately accretive in both adjusted EBITDA and net income. In closing, on the heels of a strong Q4, our goal for 2024 and beyond is to generate robust cash flows and to manage expenses to build a balance sheet that can support both our organic and acquisitive initiatives. We believe we're making progress on this front, which we expect to continue during 2024. That concludes my review of the financial results, and I'll now turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Gavin Fairweather of Cormark. Please go ahead. Your line is open.
Gavin Fairweather: Hey, good morning. Maybe to start with Chuck, now that you've had kind of six months to assess the end markets, the products and the competitive landscape, curious if you have any updated guideposts for organic growth CAGRs for ITS over the long-term? Do you guys hear me?
Chuck Myers: There we go. Sorry about that. I had it on mute after all the shenanigans we had a few minutes ago. We expect the margins and the growth to continue some of what they've been. We still have some, as I mentioned before, I used the term, "Dust bunnies" that we're working on, but we feel much, much stronger, where we are today than obviously we did a few months ago. Does that answer your question, or you want to take a little bit of that?
Gavin Fairweather: I think we talked in the past about maybe like a high single-digit organic gross CAGR. Like, do you feel like that's reasonable to achieve given the demand that you're seeing and where you sit competitively?
Chuck Myers: Yes, I would say we'll probably have a little more visibility into that in the middle of the year, but we continue to see good opportunities. This past few months has really been about stabilizing the existing business, not spending a lot of time on bidding new projects, but that going into the New Year where our aggressiveness level is going to go up in terms of how we pursue new opportunities.
Gavin Fairweather: Got it. Good to hear. And then, just on the tolling side, just curious around like the initial margins after you kind of go live. Would it be fair to say that they're still higher than what you were seeing in the implementation phase and then move higher from there, or are they starting out equivalent to the implementation phase?
Chuck Myers: That's a good -- we've had some reasonable success on renegotiating some contracts in the O&M phase with some higher margins. Even in the opportunities that we've -- few opportunities we've been looking at, we're definitely bidding things at a little higher margin to take advantage of what we think is there and maybe take advantage of what we think is some underappreciated benefits that we have inside the company. So, we intend to see those continue to improve.
Gavin Fairweather: You've mentioned a bit of an increased pace of bidding on ETC accounts here. So, I guess I'm just curious like what's the volume of kind of pre-RFP opportunities or that your sales guys are in discussions on and whether you're seeing any kind of significant tenders within market as well?
Chuck Myers: Yes, it's two different things. We continue to see good movement in the enforcement business pretty consistent. We do in the tolling business, as people know, there's a pretty strong backlog of bids coming up here in the future of RFPs to be issued. I think, I always want to be cautious about when they come out because a lot of these customers are state and local contractors or public private roads or public private partnerships that do tend to get a lot of, let's call it dispersion in when they issue things. You might think something's coming out March and it comes out in June. So, that's a tough question for me to answer. It's almost an annual type question, rather than a -- rather than a quarter or quarter question.
Gavin Fairweather: Okay. But you're still seeing good kind of activity?
Chuck Myers: Yes, we see good opportunity. Yes, there's definitely good activity, and we see a reasonably big pipeline, coming out over the next 24 to 36 months for sure, 12 to 36 months.
Gavin Fairweather: And then, you touched on logistics in the script, maybe we can just plot out a little bit more fully why you view that as kind of a natural extension of the capabilities that you have in tolling and enforcement. And I'm also curious, how far along the path are you? Are you talking to mapping out the strategy? Or are you starting to maybe look for some acquisition targets?
Chuck Myers: I would say a little bit of both. I think that the tolling business in our enforcement business is uniquely positioned. As you look at kind of how you do data plays in the logistics space and do tracking and monitoring of vehicles for various purposes in and out of ports, things like that, in and out of airports, you name it, shipping facilities. One of the hardest problems in those businesses is always getting the act, let's call it the land space. A lot of times if you're looking at things with cameras or with RF, the customers who want it, they're willing to pay for it, but they don't own the land or the space that you want to deploy on. The advantage that that this business has and we have so much quote real estate around the country in tolling and enforcement business, we already have the access and the ability to harvest that data. And that's why we see logistics as such a good side play for us. And so, we do continue right now to look actively in some acquisition opportunities in the logistics space and also opportunities in the data area that could really be good corollaries and additive to our tolling and commercial vehicle business.
Gavin Fairweather: Okay. And then, just lastly, maybe for Kyle, congrats on the permanent role, may be one for you. We have seen a decent working capital build in 2023. Do you think that that can kind of mostly reverse here in 2024, if you kind of get your milestone payments?
Kyle Chriest: Thank you very much, Gavin. And good question. Yes, working capital is something we're keeping a close eye. It has built up here. During the first quarter, we got enough visibility now 15 days out to know that we'll be dipping a bit, but certainly through Q2, Q3, we expect the working capital to be normalizing back to a reduced level and to be bringing down the unbilled revenues and receivables. We're at the back end of several milestones on implementation contracts. Some of these that were negotiated years ago had back end weighted milestones that are to come on completion here.
Gavin Fairweather: Okay. Thanks. I will pass the line.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Todd Coupland of CIBC. Please go ahead. Your line is open.
Todd Coupland: Yes, good morning everyone. I wanted to talk to you about the market and the TAM. And Chuck, you've been in the role now a little bit. You've followed this sector for a while as everyone knows. What's the right growth rate for this market? And then how does that fit with your plans for Quarterhill's top line?
Chuck Myers: I think that as you know, Todd, I like to be conservative on these things. So, I think that there's -- the market has probably some pretty good growth rates in. Obviously, the TAM of the toll business as a whole is pretty large or still just in the sand, just in the even in the U.S. market, there's definitely a couple of billion dollars of pent-up demand right now. And I think that you're going to see a pretty consistent historical growth rate. The exact growth rate, I can't recall off top of my head, but it's 20% kind of thing. I do think the logistics in some of the data plays that sit on top of those are significantly higher growth rates, as we move on and there's a lot of demand for frankly just information that comes off of our commercial vehicle systems, our tolling systems and logistics systems. So, I think there's an expansion of the wallet in the customer's wallet that may be bigger than the actual growth rate of new toll projects per se.
Todd Coupland: And when you think about logistics ports and borders and things like that, you're in Texas and you're going to U.S. dollars, is it U.S. buy requirements? I imagine you'll probably satisfy those. What about the customer? Is it a crossover? Do you have to learn a new customer list or stand up a new go-to-market motion in terms of logistics to talk about?
Chuck Myers: You mean moving from Canadian dollars to U.S. dollars?
Todd Coupland: Well, I don't think that probably matters very much. But just -- 
Chuck Myers: Going European?
Todd Coupland: Well, the Buy American point, I would imagine would be fairly strong in border deals and ports. Is that?
Chuck Myers: No, I don't suspect that's going to impose an issue.
Todd Coupland: Okay. And what about, is there knowledge of this market built into Quarterhill now or is it a full acquisition that's going to get you that?
Chuck Myers: I think there's probably some tuck-ins. There's definitely some acquisitions that are -- that we've seen kind of get tossed over the transom and but we really want to get things settled down and I think we've done, we still got -- we still got work to do, but I think you can see that that we settled things out a bit. And now we're going to spend more time in this year in looking at those, but making sure very similar to the Red Fox. We're looking for accretive deals that we can afford, that the balance sheet can support, and those are the kind of deals that we're looking at. And it's going to be -- it will be a different thing if we do a big acquisition in that area. We'll definitely take a pretty hard look at things and make sure it's going to fit with the business. We don't want to make many mistakes in that area.
Todd Coupland: And then, when you look at your backlog, how much of the 2024 would you say is already booked and how much do you have to go?
Chuck Myers: Maybe I'll let -- I want to -- I know the number, but I don't want to steal Kyle's thunder. You want to talk about that, Kyle in round numbers?
Kyle Chriest: Hey, thanks. Yes, it's my first day on the job here, so I can feel that one. Todd, we're expecting, I'd say about 70% of our 2024 is already cooked in our backlog. But we also on top of that, there's a lot of contracts that have some significant renewals year-to-year where we've been on-site for a number of years and the renewals are relatively assured and there's another 15% to 20% of those contracts as well. So, they're not backlogged until the date they're signed, but the renewals that have been coming for a number of years.
Todd Coupland: I see. Sorry, that's within the 70 or that's on top of the 70?
Kyle Chriest: On top, on top.
Todd Coupland: Okay. Do you more or less have visibility on 2024? So what are the upside or downside levers beyond what you have visibility now? How should we think about that?
Kyle Chriest: Some of it is still customer timing. We have the contract signed. They have some subcontract non-labor components. And given customer demands delays infrastructure being ready ahead of us that could slip things out between the quarters. And we've seen that I think just in Q3 last year with the timing on some deliverables slipping into Q4 this year. That's one of the main drivers.
Todd Coupland: Okay. And then, if you have 70% to 90% more or less line of sight for the backlog, what's the -- if you can answer this question, the target EBITDA within that mix, is it double-digits, is it high-single-digits? Can you give any color on that?
Chuck Myers: You want me to take that or you want to take that, Kyle?
Kyle Chriest: No, go ahead, Chuck.
Chuck Myers: No, I was just going to say, it's the same thing we've kind of said before. We want to get to double-digit as quick as we can, and we kind of look at, where our peers are. And if you look out, our kind of target is to get up to 20%. How fast we'd get there, we're kind of looking over a horizon of a couple of years to get there. So, I don't really want to give much more than that because there's just so many -- there's so many sensitivities from where we are and what kind of acquisitions and things that we do.
Todd Coupland: Last question for me, so you obviously have a good sized backlog, maybe talk about the funnel, you're going to focus more aggressively on closing deals. Could we actually see the backlog with that stance grow faster than the revenue, just talk a little bit about that? Thanks a lot.
Chuck Myers: I would and that's possible. I think if you've noticed that, I think Kyle's got in there right now about $520 million in contracted backlog. And if you'll notice, that's up already. I think in the last quarter, I think we were at right around 500. So, that has grown. In all honesty, Todd, I haven't looked at the deltas on that. That might be something we have to get back to you on.
Todd Coupland: Appreciate it. Look forward to the year. Thanks a lot.
Chuck Myers: Thank you.
Operator: Thank you. And there are currently no further questions in the queue. So, I'll hand the floor back to Mr. Myers for the closing comments.
Chuck Myers: Great. Hey, I wanted to welcome Kyle aboard. He's been working hard and he's been working essentially as the CFO for the entire time I've been here as a as a regular CFO and done a terrific job. And I have to thank our team has just been spectacular. It's one of the most enjoyable companies I've ever worked at in my career in terms of the quality of people that are here. So, and I want to thank obviously, thank our investors. We're here for the investors. We're really trying to put our best foot forward and do a great job for you and grow this company. And we're all super excited to be here. So, thanks for taking your time. Thanks for putting up with the call-in services' technical difficulties. And we look forward to a long relationship with our investors.
Operator: Thank you. This now concludes the conference. Thank you all very much for attending. You may now disconnect your lines.